Allison Cain: Thank you, operator and good afternoon to everyone. Before we begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other U.S. securities laws will be made on this call. These forward-looking statements include, but are not limited to, statements relating to the Company's objectives, plans and strategies; statements of preliminary or projected results of operations or of financial condition; and all statements that address activities, events or developments that the Company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties and are based potentially on inaccurate assumptions that could cause results to differ materially from those expected or implied by forward-looking statements. The Company's actual results could differ materially from those anticipated in the forward-looking statements for many reasons and I encourage you to review the Company's filings with the Securities and Exchange Commission, including the Company's annual report on Form 20-F filed March 17th, 2016 which identifies specific risk factors that may cause actual results or events to differ materially. Any forward-looking statements are made as of the date hereof and the Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, the Company will make reference to certain non-GAAP financial measures on this call. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the Company's earnings press release published today which is posted on the Company's Investor Relations site. On the call today, I have Gabi Seligsohn, Kornit's Chief Executive Officer; and Guy Avidan, Kornit's Chief Financial Officer. At this time, I would like to turn the call over to Gabi. Please go ahead.
Gabi Seligsohn: Thank you, Allison and hello, everyone and welcome to our first quarter of 2016 earnings conference call. During today's call, I will review aspects of our performance, then provide an update on market conditions and some color on new and upcoming products. Guy will then walk you through the full financial details for the first quarter as well as state our guidance for the second quarter of 2016. Before getting into the details of the quarter, I wanted to begin with an update about a recent and exciting customer development which is expected to significantly contribute to our second half performance. We're at an advanced stage of discussions with a large global customer to become their dedicated supplier to build out their DTG efforts. Based on these discussions, we expect them to become a very large customer. While part of the discussions require that we do not disclose the customer's details, I would like to provide a couple of details about this program. We have been working with this customer for some time at a smaller scale which performed exceptionally well. During this period, our systems worked at capacity. We expect this customer to be a large contributor to our growth during the second half of the year and for the next few years. The efforts associated with this customer require deep involvement of our service and application groups as well as high-level account management since the customer's aiming towards flawless and continuous operation. We're obviously honored to have been selected as a partner for such a large-scale project. Moving onto the first quarter results, revenues during the quarter came close to the midpoint of our guidance and represented a 24% increase versus the comparable quarter of last year. As you know, the first quarter is always our seasonally slowest quarter of the year. That being said, on a year-over-year basis, we continued to see strong demand in the U.S. and had initial success with our renewed efforts in Latin America led by a team based out of our new offices and demonstration center in Miami. While we were pleased with our overall growth rate and it was in line with our expectations, trends were not consistent across all geographies as we experienced some softness in Asia, where some customers deferred CapEx decisions, given regional economic headwinds and exchange rate pressure versus the U.S. dollar. We will continue to monitor the market environment and have contemplated this in our outlook for the rest of the year. Gross margins during the quarter increased to 48.7%, representing an increase of 300 basis points versus last year's first quarter and was flat versus Q4 of 2015 despite the lower revenue base. This achievement is the result of the continued transition of customers to higher-throughput systems and higher-end consumption rates. Non-GAAP operating profit of 3.2% came well within our guidance. We were able to achieve this level of profitability despite growing our OpEx by close to 50% year over year and 10% versus the fourth quarter of 2015 which we believe provides great testament to the strength of our business model. The first quarter also saw a few very meaningful milestones of strategic importance to Kornit. First, the introduction of the new Storm Hexa at FESPA was extremely well received. This product redefines our offering for the midlevel industrial market. Customers were especially enthusiastic about the significant improvements offered in the areas of cost per print, print quality and throughput. We received orders and shipped multiple units during the quarter and see demand for this product increasing in the second quarter. With the introduction of the Storm Hexa, we shared our plans to offer an upgrade option to existing Storm II customers, of which there are several hundred units installed. Such upgrades as well as many others that are in the making are valuable to our customers as they look to extend the usable lifetime of previous investments and gain more functionality and productivity. Upgrades will play an important role as they become a more meaningful part of our service revenues and assist us in making service into a breakeven business and later into a profitable business unit. We plan to employ this strategy with more products going forward. Another important milestone for the quarter was the installation of a second Vulcan at an important customer site. Both sites have been shipping high-quality garments and are continuing to ramp production on the systems. I'm happy to report that a third system just completed installation at a major customer site a couple of weeks ago and will be ramping into production over the next few weeks. With these three systems in place and given the high level of interest expressed by multiple other customers, we expect a meaningful ramp up to take place during the second half of the year. As previously stated, we see Vulcan as a revolutionary concept which has potential of displacing screen printing and high-volume production sites for print fab sizes of up to 400 units, paving our way into the mass retail market for fashion. A third important achievement during the quarter relates to the receipt of initial orders for Allegro from customers in Asia and Latin America. Sales cycles for Allegro and production ramp ups are inherently longer than in DTG, as the platform marks Kornit's entrance into the roll-to-roll market with a disruptive single-step technology. These attributes require longer customer education periods. And in some cases, customers are relying on the Allegro as a means to enter a market segment which is new to them as well, making production ramp up a function of their successful marketing efforts. Overall, customers continued to point out the unique quality achieved by the Allegro which is second to none when applying pigment inks for digitally printed designs. We recently published a testimonial with Blur of Portugal, who has been a significant customer of ours for many years in the DTG space and serves leading European brands. Blur was looking to expand and develop its business into a new segment. In line with Blur's quality and competitiveness approach, the company decided to enter the roll-to-roll printing market with the help of the Allegro. Most important was the end-to-end process offered by Allegro which totally eliminated the need to rely on external vendors for pre- and posttreatment of fabric. The Allegro at Blur is complemented by a flatbed cutting system from Zund which is part of the Allegro-and-cut workflow approach we successfully demonstrated at ITMA in November last year. We're in the process of expanding our roll-to-roll salesforce and have been expanding our partnerships with distributors serving the large-format printing market in order to enhance our presence. I'm also happy to report that, by the end of May, we will have product demonstration capabilities for Allegro in Hong Kong, Dusseldorf and Milwaukee which will serve as a key component in our presales efforts. Looking forward to the rest of the year, we have several exciting efforts in the making. As stated during our last conference call, we have continued to invest heavily in our growth. During the second half of the year, we plan to introduce several new products which should contribute to revenue growth quite imminently as the features and functionalities they will offer are in high demand by our existing customers. On the market side, we're continuing to see several existing customers becoming multisystem accounts. This trend is especially strong in the U.S., where Web to print is strongest. We're also seeing positive signs from Europe. The United Kingdom continues to be our strongest market in the region, fulfilling British market needs as well as serving multiple offshore Websites who are starting to rely on the high quality achieved by customers in the UK to address market needs in continental Europe. We're also happy to see Spain and Italy recently coming back. As things relate to Asia, it is not yet clear how long or to what extent macro conditions will continue to impact business. Our presence throughout the region is strengthening and so, we believe we have set the stage to take advantage of business potential there. I briefly mentioned Latin America as well. Our renewed efforts in the region have revealed that Mexico offers good potential as do several states in Central America. While Brazil remains difficult, given heavy import taxes, we're encouraged by recent political changes in Argentina which are opening that market again at a very rapid pace. As a broader market theme, it is increasingly evident that online sales are becoming an important sales channel for global retailers, with many prominent retailers deriving the majority of their growth from online. Kornit is exceptionally well positioned to help facilitate these efforts. And this trend represents a vast market with apparel and footwear sales in the U.S. alone set to be in excess of $340 billion. Online shopping currently represents about 12% of the entire market and market analysis suggests this is expected to be the fastest-growing retail sales channel in the medium term. We believe this is a large opportunity for Kornit as online shopping is all about variety of offerings. And the ability to cater for such variety places large-scale inventories at risk. An approach which has prints of decorated garments taking place only at time of order can significantly improve the economics of such vendors, who will rely on widespread close-to-market fulfillment centers. Our sales and marketing efforts through our strategic accounts group should help us become a meaningful player in this market over the next several years. Turning now to the second quarter and the rest of the year, during the second quarter, we're planning to present at two large tradeshows in China. We're also planning large open-house events for the Allegro in both the U.S. and in Europe. Such open-house events span several days, with customers bringing their own fabrics to be tested and evaluated for quality and overall productivity. These events generally create good sales leads and product traction. During the second quarter, we will continue to focus on preparations for general availability of the Vulcan, relying on our three evaluation sites. As Guy will detail in a moment in our guidance, we do anticipate that the second quarter will grow at a moderated pace. Having said that, we expect to significantly ramp in the second half of the year. This expectation is related to the new customer we discussed, significant revenues from the Vulcan as it becomes generally available and new product launches taking place in the third and fourth quarters. In addition, we expect system upgrades to start playing a more meaningful role toward the end of the year and contribute to service revenue and later its profitability. And with that, operator, I will now turn the call over to Guy Avidan, our CFO, for a closer look at the numbers. Guy?
Guy Avidan: Thanks, Gabi and good evening, everyone. Before beginning the financial overview, I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP pro forma results. Our first quarter non-GAAP pro formal results reflect adjustments for the following two noncash items, stock-based compensation expenses which totaled $726,000 and depreciation and amortization expenses relating to the acquisition of assets of Plymeric Imaging in the amount of $50,000 and continued amortization of IP acquired in 2010 in the amount of $56,000. A full reconciliation of our results on a GAAP and non-GAAP basis is available in the earnings press release issued earlier today and in the investor section of our website. First quarter revenue increased 24% to $21.8 million versus $17.6 million in the prior quarter and decreased 14% versus the prior quarter, as expected in the first quarter of the year due to seasonality. High revenue versus the prior year was driven by several items in the quarter, including higher sales of higher-margin, higher-throughput systems and high volume of ink sold. By geography, 65% of our sales were from the Americas; 23% from Europe, the Middle East and Africa; and 13% from Asia-Pacific region. As in previous quarters, the Americas remain our largest territory. As Gabi stated, we saw some softness in Asia-Pacific region due to macro uncertainty which caused customer to postpone equipment buying decisions. We will, of course, continue to monitor this market which has been our smallest, but represents an important part of our growth. Our two U.S. distributors contributed 42.3% of our overall revenue compared to 44% in the prior year. Moving to profitability, non-GAAP gross margin in the quarter improved and reached 48.7% versus 48.6% in the prior quarter and 45.7% in the prior year. On a GAAP basis, gross margin was 48%. Higher margins this quarter versus the year-ago quarter were the result of several factors in the quarter, including a higher mix of high-throughput systems and increased volume of ink. Moving to our OpEx items, I'll discuss these items on a non-GAAP basis which excludes non-operating charges previously mentioned and highlighted in our GAAP to non-GAAP reconciliation included in today's press release. Adjusted research and development was 16.6% of sales or $3.6 million compared to 15.5% of sales or $2.7 million in the prior year. The increase in R&D expenses as a percentage of sales primarily reflects an increase in headcount to support the accelerating release of the Vulcan as well as several other development projects which are on the way. As part of our growth strategy, we expect to continue to invest heavily in R&D and anticipate a higher R&D run rate in the second quarter and in 2016 and as a whole, predominantly as a result of additional chemistry scientists and engineering personnel. Sales and marketing in the quarter were $4.3 million or 19.7% of sales compared to $2.6 million or 14.6% in the prior year. Higher sales and marketing expenses were the result of increase in headcount as well as extensive trade show activities in the first quarter. General and administrative expenses in the first quarter were $2 million or 9.3% of sales compared to $1.4 million or 7.7% in 2015. Higher G&A in the quarter results predominantly from management headcount additions, additional headcount in IT and HR, as well as expenses related to IT infrastructure and incremental expenses as a public company. Headcount as of March 31st was 363 employees. The increase in personnel was primarily attributed to additions of R&D and sales and marketing personnel. Our strategic focus is to take advantage of growth opportunity in a transitioning analog-to-digital printing and textile market. To that end, we have been making investment in our engineering, sales and services teams. We expect to continue adding new system and chemistry engineers, software engineer, as well as additional sales, application and services personnel to further develop and strengthen our leading position in the fast-growing DTG market and grow our market share in the roll-to-roll market. Non-GAAP net income for the first quarter was $600,000 or $0.02 per diluted share, a decrease of $300,000 versus the year-ago quarter. GAAP net loss was $200,000 or $0.01 loss per share on a diluted basis compared with net loss of $200,000 or $0.02 loss per share for the year-ago quarter. Our financial income this quarter was $114,000 as a result of accrued interest of our cash investment offset by financial expenses related to bank's expenses. Cash balances, including long term marketable securities, at quarter end were $70.7 million compared to $4.6 million as of March 31st, 2015. Net cash used in operating activities was $3 million this quarter compared to $631,000 net cash provided in the prior quarter and net cash provided in operating activity of $1.4 million in the year-ago quarter. The decrease in cash from operations was mainly a result of an increase in inventory versus the prior-year period. Importantly, high inventory is entirely attributed to inventory in support of R&D and customer demonstrations, while the increase in balance of production inventory accounts were at or below our long term growth rate. We expect the investment in working capital to moderate in the coming quarters, but anticipate an elevated level of capital expenditure in the second and third quarter as we execute lease-hold improvement to our facility in Israel. This project will increase space for research and development and to accommodate our large team in Israel. We expect CapEx related to this project to approximate $4 million and will completed in 2016. Turning to our guidance for the second quarter of 2016, we expect revenue to be in the range of $23 million to $26 million and non-GAAP operating income to be in the range of 1.5% of revenues to 7.8% of revenues. As you know, we do not provide specific full-year guidance and only guide for the coming quarter. Given the imbalance in our expectation between the first half and the second half of the year, we find it necessary to provide some additional details for the full year. As a result of the strong growth anticipated for the second half, per Gabi's prepared commentary, we expect our full-year revenue growth to be in the range of our long term growth model and also that most of our earnings will be achieved during the second half of the year. I'll now transfer the call to Gabi.
Gabi Seligsohn: Thank you, Guy. And, operator, before transferring the call for questions, I'd like to apologize to investors that it seems there's been some technical difficulty with the presentation that goes along with the Webcast. We will work to fix that as soon as we possibly can. With that, operator, we would be happy to take questions.
Operator: [Operator Instructions]. And we will take our first question from Ken Wong with Citi.
Ken Wong: So, I guess we'll dive right into the guidance. I guess, when we think about the heavy second half seasonality, it's largely dependent on a bunch of new products coming out. I guess, what confidence do you have the big uptick in the second will get you guys to the roughly 30% full-year growth?
Gabi Seligsohn: Well, it's a combination of things, Ken. I'm glad you bring up the question. And I'll reiterate what I said earlier on. The growth really is going to be a function of a few factors. Indeed, new products play an important role, such as the Vulcan that I said we anticipate to see a significant ramp up with Vulcan and revenues to start showing up then which will be a combination of the evaluations as well as several new customers. Second of all, the Storm Hexa that I spoke about will continue to ramp up. Thirdly, yes, there is more new products coming that I won't disclose at this time; and then very importantly, the customer engagement that I spoke about which is very significant for us as well and is based on existing products; finally, upgrades, as I said which will become more meaningful. So, second half is a combination of all these things indeed. New products play an important role, but also existing products play a very significant role in there as well.
Ken Wong: And then maybe if we can touch a little bit on that large customer, I know you can't disclose too many details, but maybe help us just understand whether or not this is some large retailer. Is this a startup that's trying to have a really big presence in the DTG space? Just trying to get a sense for kind of the framework with which you're working on with this customer.
Gabi Seligsohn: Yes, at this point, there's a lot of sensitivity. And we've been specifically requested by the customer to avoid as much as we possibly can anything that may identify them. So, I'm not able to go into more detail. Suffice it to say that, as I stated, they're going to be significant for us for the second half of the year and for many years to come. And so, we're excited about this project. We've already seen good activity with the existing systems. But, unfortunately, I'm not allowed to say a lot more than that at this point.
Ken Wong: Okay. And maybe shifting gears a little bit, earlier this week, you guys made the announcement that you guys are replacing Sarel with Gilad. I'm just wondering if we should expect any kind of near term impact that this transition might have and how much that might have played into, if it played at all into kind of the heavier shift in the seasonality for the year.
Gabi Seligsohn: No relevance whatsoever to the executive changes. Sarel and I have been discussing this for a while. Sarel has done a tremendous job for the Company. He started pretty much at the very beginning and has set things up in a wonderful way. The transition period, much in the fashion of Israeli companies, will be as lengthy as we need it to be in order to make it as seamless as possible. Gilad comes with extensive experience in the printing market which is extremely relevant for us, same business model, same kind of activities and also, the fact that he ran a subsidiary makes him a perfect fit for us. I also mentioned during the last few days that we've had other management, senior management changes also in the subsidiaries. This is part of an overall process that we're leading. As we become a larger company, we're bringing onboard seasoned executives that can help us grow into an even larger company. So, overall, this is extremely exciting for me. I'm happy to have this new talent join onboard. Some of it is people that I work with, such as Buck Kim in Asia-Pacific, who moved from Taiwan to Hong Kong; Eyal, who did a tremendous job in Asia and has moved to run Europe. And then we're in the process also of replacing Paul in the U.S., who's done a tremendous job to make the U.S. half of our revenues. And we're interviewing very strong candidates for those positions. So, very, very smooth as far as transition, no hiccups related to these changes, very carefully managed, feel very strong, also well communicated with the distributors and our partners as well as the customers. So, all in all, I'm very happy with these changes and people are coming onboard at a very, very fast pace.
Operator: We will now go to Joseph Wolf with Barclays.
Joseph Wolf: I guess I want to ask the question in a slightly different way. With this unnamed customer and program, you mentioned that its existing machines. Is it a wide range of product? And I guess you've got the expectation for the second half and going into the future. Is the cadence of that going to be linear or is it going to be lumpy quarters as you look at it? So, it'll be 30% year-on-year growth perhaps at this customer for a while, but it'll be all a second half story, even in 2017 or will it be linear once you start to ship?
Gabi Seligsohn: Well, we're seeing a trend, Joseph, in the last several quarters with more and more larger accounts joining in. I expect there to be more and more large accounts coming to play. I'm seeing many of our existing accounts becoming larger and larger accounts, I see this as a trend. Obviously, you're never in a situation where all your customers invest at the same time. Will that mitigate the possibility of ups and downs? Perhaps. I think the best way to look at this is that Kornit is already addressing in excess of 1000 customers and growing by hundreds a year. And so, I think the spread of number of customers as well as more and more large-scale customers coming onboard should help us continue to grow and as we've said, our growth trajectory we believe is secular. We do see some seasonality from one quarter to the next. We've alluded to that in the past that you may have situations just like the one we have now, where you don't see linear growth from one quarter to the next. But, the trend as a whole continues to be the same. And we feel very confident about that. So, this is the way I look at it.
Joseph Wolf: And when you announce this customer, are you going to be able to name the customer in the second half? And will that open the door to similar-sized customers for new engagement in terms of a competitive adoption of DTG?
Gabi Seligsohn: Well, this customer has asked and we respect that very much, to keep things secret and we will honor that completely. I think what happens and I've seen this in the past obviously, is that as you grow, your position in the market and you become a standard, people talk about that. Obviously, having a large-scale customer or several customers like that creates more strength for the Company. This by the way and maybe this is a nice addition to this commentary, is very much related also to the infrastructure that we've put in place from a service and application standpoint. We keep on talking about the importance of that and the fact that we're still in investment mode to grow that, that has played an extremely significant role in decisions by large customers to partner with us. So, while I'm not able to say the customer name and I don't know when and if we'll be able to talk about that, I believe that, because the area of DTG is so hot and continuing to grow, your position grows with that and people understand that you have become a mission-critical supplier for people that want to work around the clock and satisfy a hugely growing market. This is kind of the way I think it's going to play itself out.
Joseph Wolf: And then I guess, just a quick one for Guy, cash flow expectation for the year, given this information?
Gabi Seligsohn: Cash flow expectations for the year.
Guy Avidan: So again, cash from operation, as we grow we're going to use cash from operation. We mentioned during the call that we're going to invest in lease-hold improvement $4 million until the end of the year.
Gabi Seligsohn: Yes, but not extensive use of cash for operations, Joseph, here and there, but not anything extensive in use of cash for operations, for ongoing operations.
Joseph Wolf: Okay. So, hovering around this quarter's level?
Gabi Seligsohn: As the year progresses.
Operator: We will now go to Bobby Burleson with Canaccord.
Bobby Burleson: Yes, I think just the first one is wondering with the strong acceleration with this existing customer on existing systems in the second half, is there any mix impact on gross margins?
Gabi Seligsohn: No, I think, in general, the trend towards higher-throughput systems is continuing. And you're going to see the benefit of that as that continues to play a more and more significant role, but nothing specific to this customer that I would mention as it relates to gross margin.
Bobby Burleson: And then just wondering, are there any resource constraints that could happen in terms of ramping with this customer? And when we get to the end of the year or maybe next year, do you anticipate that they could become a 10% customer?
Gabi Seligsohn: I don't want to quantify them as a customer. I will say that they will be a very meaningful customer, definitely I would say in professional jargon a material customer. As far as our ability to ramp up, the fact that we have put in place very good contract manufacturing capabilities as well as our factory that continues to grow, we see no constraint whatsoever in being able to deal with the growth rate that's anticipated.
Bobby Burleson: Okay. And then just on the third beta Vulcan customer, is there an opportunity maybe for the brand that's a beta customer there to be announced in terms of the company name?
Gabi Seligsohn: We'll see, obviously these things are very sensitive. I'd like to believe that the answer is yes and yes, we have alluded to the fact that the third installation is a brand. For us, this is important because we see this as a significant milestone for penetrating the retail market. I've said this before and I'm reiterating that. I'm hopeful that we'll be able to announce specifically because we see this as a very significant milestone and I'm very encouraged by the pace of ramp up that we're seeing at that third customer. As we said and this is really important I think, when you're ramping up such a high-volume production system, I think that the last several months are proving that the strategy has been the right one. To go after three customers in the first half of the year to only announce general availability afterwards to have all the data necessary to support the fact that it's a high-volume manufacturing and reliable system to do it with a variety of different customers, I'm really happy with the strategy that we chose. And it's proving itself because I can see it from one installation to the next. The time to ramp up is reducing as far as the system starting to run and be able to actually ship product. One of the interesting things in the textile market and the digital printing market is that, even when you are being evaluated, you're actually printing product that goes live and goes to customers. This is not stuff that gets printed and gets scrapped. You immediately transition into production which is hugely important because then you have data to support your sales process to the next customers that are coming. So, the strategy has been really paying off quite well.
Bobby Burleson: And then just one last quick one. In terms of the high-throughput distinction that you guys make for the revenue each year in terms of revenue split, that's obviously going to become less meaningful as a metric, given the success you're having in that transition I imagine if we look at the 2017. Any plans to maybe give us a revenue segmentation that includes maybe new products revenue or some other kind of visibility into the types of systems you're selling?
Gabi Seligsohn: Yes, we will consider what to do as we evolve as a company. I've always believed as a public company CEO that we need to provide the market as much information as we potentially can in order for the market to understand us. So, we will continuously review that and think, what are the interesting KPIs for you guys to look at and demonstrate progress that we're making in that area. So to be determined Bobby, but I've done that before because you change your position and evolutionary-wise, you're pursuing the next effort. And so, that's exactly what we're doing. So, let's see about that and discuss that in the future.
Operator: [Operator Instructions]. We will now go to Patrick Newton with Stifel Nicolaus.
Unidentified Analyst: This is James on for Patrick. So obviously, high selling and marketing expense for the quarter due to having FESPA in there. Given that you'll have two tradeshows in China in second quarter and the ongoing demonstration, any more color you can give as to whether that will maybe decrease on an absolute basis, be around the same as the first quarter?
Gabi Seligsohn: Yes, around the same probably. You need to realize, in the first quarter, it just so happened -- I don't know why it happened that way. We had seven tradeshows. And the biggest one was FESPA. In the second quarter, we have a lot less. On the other hand, demonstration activity is growing. Guy mentioned that as something related also to inventory. So, as far as sales and marketing expenses, maybe some minor differences or flattish I would say.
Unidentified Analyst: And then on your growth target for the full year, any sort of insight you can give to -- as to what the services business will represent as a percentage of revenue by the end of the year?
Gabi Seligsohn: No, we're not breaking down services. It's still a smaller component of our revenues. But, as per the question that Bobby from Canaccord just asked, as things evolve, that may change at some point in time. But, we're not going to provide information on that. I will say that we're signing more and more contracts which is very encouraging. It means that customers understand the value of the services that we're providing. And as mentioned, upgrades are going to become very meaningful. I just gave the example, for instance, of the install base of the Storm II which is hundreds of units which will soon become upgradable to the Storm Hexa. And we believe a lot of customers will want to do that because you need to realize the differences are huge as far as ink consumption, huge improvement because of new inkjet technology that we're using. Throughput is much higher, the fact that we added the two extra colors. So, we think this is going to be very attractive. And we're going to be offering relevant packages of that type also for other systems. So, as a whole, services as a business is going to continue to improve and again we're still committed to breaking even and later on becoming profitable. So, we're still going to go for the breakeven this year. And I believe that, as a function of the pace of introduction of upgrades, that might even improve, we'll see how that goes.
Unidentified Analyst: Okay. And then one last quick one. Are you able at all to break out revenue between China and Japan in APAC?
Gabi Seligsohn: No, we haven't detail down to the country level. And it tends to vary from one quarter to the other. I would say the level or the stage of maturity of DTG technology is such that in some regions, there's still not yet an investment cycle that repeats itself. So, you've got variability from one quarter to the next. You could have certain quarters where one of those countries is stronger and then may be weaker, so nothing specific to say about that.
Operator: We will now go to Brian Drab with William Blair.
Brian Drab: First question, I think you touched on it, but the second quarter guide, we're modeling at the midpoint a 12% sequential increase and it's been closer to 20% in the past. So, would you say that's mainly softness in Asia or uncertainty just in macro in general? What were the reasons for that?
Gabi Seligsohn: Well, I think that there's no one specific reason there. Indeed, Asia does play a role. But, as we said, Asia is not one of our larger subsidiaries. So, Asia does play a role. I think that's part of it. Some of it also is ramp-up schedule of known accounts which is more second half heavy which I kind of alluded to I think pretty extensively, that's a point there. And again, I'll reiterate and we've said this in the past, I know we have, but it's something that's very important to understand about our business, that we're still at a stage from a maturity level that revenues will oscillate. And you will not see necessarily a linear performance from one quarter to the next. But, that's why we went the extra mile this time and spoke a little bit about what the entire year's going to look like because of I guess the distance between how we expect first half and second half to perform. So nothing that I can say beyond what I said about Asia, in general, the U.S. is performing quite well for us. Europe as a whole is improving. We have more feet on the ground now. Eyal moving over there has created strong momentum as well. So, that's kind of how I look at it.
Brian Drab: Do you think you have a lot of customers that are waiting for these product upgrades and are going to hold off purchases in second quarter, wait to see what you're offering in the second half?
Gabi Seligsohn: I haven't seen that, to be honest, Brian. First of all, again, the Hexa is out. And that's become very important. And the beauty of it is that we were able to ramp it up quite quickly because the demand is good over there. So, that hasn't delayed people that wanted to buy the midlevel system that even I would say incentivized them to move. As far as what else we're going to do with DTG, we haven't spoken about what it is. And we haven't provided any specification information, etcetera. Customers that need to continue, existing customers that need to continue to ramp up will ramp up no matter what. If you are a startup business and you need to start moving, it is again the case that, does it make sense for you to wait or not? So, I've not heard from our salespeople a wait-and-see strategy from customers until now. And I think that would've been something that we would discuss extensively if that were the case.
Brian Drab: Okay. Are the new products that you're talking about in the DTG market or could they be possibly in roll to roll or roll to roll related?
Gabi Seligsohn: I don't want to mention at this point. I want to keep the element of surprise, I apologize, for competitive reasons. But, we're working in many directions which is exciting for me because I think this is what's going to secure the continued growth and leadership for us.
Brian Drab: Okay. And then on the large customer, is there a contract with this customer that leads you to comment about revenue for years to come?
Gabi Seligsohn: Again, I won't discuss beyond what we said. As I mentioned in my prepared commentary, I said that we're at advanced stages of discussions with this large customer and so, we know what we're executing towards. And it's meaningful enough that we said that it's going to be a significant contribution to H2 and for years to come. But, I won't go into the details of what actual agreement, etc. Simply again, these guys are extremely cautious with their own information. And we really want to respect that. So, I apologize.
Brian Drab: No, I respect that, obviously, too. And just one other question on that, though. Is there any chance that -- and I assume the answer to this is going to be no -- but that this partnership would in any way preclude you from partnering with any other large customers?
Gabi Seligsohn: No way at all. This is not something that we will do as a company. We believe this market is way too important and that we play way too a significant role to put ourselves in that kind of situation.
Brian Drab: And then, Guy, this is just an open-ended question without putting any words in your mouth. Can you give us any more help in modeling OpEx for 2Q, 3Q and 4Q and as much granularity in terms of line items, R&D, selling and marketing, G&A and anything you can give us, percentage of sales, absolute dollars?
Guy Avidan: Yes so, the only number that we mentioned and obviously we've said it before we're not guiding for the year. But, we gave some color about what we think going to happen to the top line. In terms of OpEx, we expect moderate growth from quarter to quarter.
Brian Drab: In terms of dollars.
Guy Avidan: Yes.
Brian Drab: Not in terms of percentage of sales, but in terms of dollars.
Guy Avidan: Right.
Operator: And it appears that there are no other questions at this time. I will now turn the call back over to Mr. Seligsohn for any additional or closing remarks.
Gabi Seligsohn: Thank you, operator and thank you, everyone, for joining today's conference call. As stated, we apologize for the technical problem we experienced. And we will work to resolve that and have the presentation available together with the Webcast for viewing as soon as practically possible. Thank you and have a good evening.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation.